Jussi Pesonen: Ladies and gentlemen it's time. Welcome to you UPM's quarter one 2018 result webcast. My name is Jussi Pesonen and I'm the CEO of UPM and I'm here with our CFO Tapio Korpeinen.
Tapio Korpeinen: Hello, to everyone.
Jussi Pesonen: So let's get started and go to the Page 2. UPM continues to grow in earnings. Our Q1 comparable EBIT grew by 17% from that of last year, marking the twentieth consecutive quarter of earnings growth. We also expect the full year of 2018 EBIT to increase from that of last year. Commercially first quarter was so successful quarter. Customer demand was strong and we succeeded to increase prices in all our businesses. On UPM level, we were able to more than compensate for the higher input costs and to expand our margins. Operationally however, the quarter was not the strongest. This leaves room for improvement going forward. I would like to summarize the quarter in four main messages. First, demand is strong in all our businesses and that is pretty clear. Second, we succeeded in increasing sales prices in all our businesses in energy and biorefining this increased our EBIT clearly. In the other businesses price increases offset the most of the - or all of the variable cost increases. And then thirdly from operational efficiency point of view this was not among the best quarters as a result we were not able to benefit from the strong customer demand by growing our deliveries. To changing good harvesting conditions in Northern Europe limited our production clearly during the Q1 and especially that was causing some challenges in biorefining. In most of our businesses including Communication Papers, we were in allocation mode and could not deliver more and the main reason was the mill efficiencies. And then the fourth main message for the beginning is that we do have a lot of new growth options going forward. But we beast words I will hand over to Tapio to further analyze our result. Tapio, please.
Tapio Korpeinen: Alright, thank you. Let's start with energy. In the end of last year very first part of this year we had unusually warm and wet autumn and start of the winter, but then in February and March Finally we ended up having a proper cold winter weather here in the Nordic area. This obviously was beneficial for energy business and therefore the realized electricity price for us was 18% higher than in the first quarter of last year. Hydro power generation was also on a good level and so the business area reported its best first quarter since 2014. EBIT margin reached 39%. In biorefining, average power price in euro was 21% higher than last year or 6% as compared to the fourth quarter last year. Biorefining increased its EBIT significantly and the EBIT margin reached 29%. However, this was the case in spite of the fact that our power production and deliveries were clearly limited by the challenging wood harvesting conditions that we had during the fourth quarter of last year and in the beginning of this year. The negative EBIT impact from this was about EUR30 million in the first quarter, in line with the estimate we discussed in our earnings webcast three months ago. Specialty papers and communication papers continued to show stable good performance. Communications papers by the way, you have perhaps in the release from today that is the name for our business area previously known as Paper ENA. In both businesses demand was good, prices increased for all paper grades and in all markets. Input costs increased significantly particularly for pulp, but the paper businesses where able to offset most of the impact with price increases. Plywood also reported a good quarter demand was strong. And the business was able to offset the input cost increases with higher sales prices. Unfavorable currencies had a negative impact. Raflatac reported somewhat lower EBIT in the first quarter due to lower deliveries and unfavorable currencies. Raflatac is being exposed to continuously rising input costs in the first quarter. We decided to increase prices to restore unit margins. In this Raflatac succeeded, but gave up some volumes in the process. On this next Page 5, on the left hand side you can see the EBIT bridge by earnings driver. The price increases across our businesses had a large positive impact, so you can see more importantly it was large enough to increase our group level margins that is exceed the significant negative impacts of higher variable costs and unfavorable currencies. As far as variable costs are concerned we continue our smart spend activities to improve our efficiency and management of variable costs and considering the fact that in this chart higher power price means higher costs in the variable cost column here, similarly higher energy price has the same in effect. We have continued to mitigate those impacts to get our variable costs in check. Q1 deliveries were lower than last year, which as Jussi said leaves room for improvement. Fixed costs were at the same level as in the first quarter one year ago. On the business area level biorefining and energy improved their EBIT clearly whereas the four other businesses where slightly down defending their margins in a challenging cost environment. Our operations and eliminations had a combined negative EBIT of EUR21 million in the first quarter whereas their combined EBIT was only 1 million negative in the first quarter last year. So our comparable EBIT growth game all from strong results in our six business areas. Here you can see our cash flow. In the first quarter our operating cash flow was EUR208 million, which on a quarterly level is clearly less than in the first quarter last year. This year in the first quarter, our working capital increased by EUR142 million, typically in the first quarter with tie up, cash in working capital which is then released later in the year. One year ago our working capital actually decreased by EUR36 million, which is unusual as a point of comparison. At that time our working capital reduction program was really kicking in and contributing to that figure for the first quarter cash flow one year ago. At the end of Q1 our net debt was down to EUR41 million. So effectively at the moment our balance sheet is debt free. Page seven summarizes our outlook for 2018 and as stated here, we expect our comparable EBIT to increase this year as compared to 2017 underpinned by favorable demand and pricing. On a quarterly level we will have a significant amount of maintenance activity in the second quarter as we already briefly discussed in our previous earnings webcast three months ago. And here we actually give a little bit more detail or background to that summarizing the timing of the more significant maintenance shutdowns this year and comparing that to last year. We continue to work to improve our efficiency in terms of maintenance cost and maintenance capital. We have been therefore developing our regime in terms of maintenance shutdowns in the big pulp mills and the maintenance cycle of our pulp mills is now typically about 18months, whereas in the earlier years it has been one year or around twelve months. So therefore in the second quarter now we have maintenance shutdowns at two pulp mills, Fray Bentos in Uruguay and Kaukas mill in Finland. We will also have a maintenance shutdown at Lappeenranta biorefinery and here the maintenance cycle is even longer than for the pulp mills. This is the first full maintenance shut in the unit since it started up three years ago. So it shows on this slide, this is so called turnaround maintenance shut, which you would expect for every four or five years. And then finally there will be the maintenance shut down at the Olkiluoto nuclear power plant during this quarter us well. The effect of this is that we estimate that the combined earnings impact of these larger maintenance shutdowns is about EUR60 million in the second quarter if you sequentially compare to the first quarter of this year or about EUR30 million as compared to the second quarter last year where we had Pietarsaari pulp mill shutdown and Olkiluoto nuclear power plant only. In the second quarter wood situation has normalized here in Finland. Still the main maintenance activity discussed here will probably keep our delivery of volumes fairly muted in the second quarter particularly in pulp, but then in the second half of the year we will have the opportunity to also grow in terms of delivery volumes. At this point I'll hand back over to Jussi for some comment on our growth projects.
Jussi Pesonen: Thank you, Tapio. As we started this whole presentation with four messages as I said that commercially the quarter was successful our customer demand was strong and we were able to increase prices in all our businesses, but operationally the quarter was not strong, but the fourth point is the growth options for the future and that this what I'm going to walk you through now. Obviously we are still running quite efficiently our smart programs, variable fixed and then the commercial capabilities are in use, but this Page 9 summarizes our current list of focused growth investments and then I will talk about our bigger transformative projects as well. Today we are pleased to announce two new projects in the specialty papers to grow our attractive release line of business in highly competitive way. First, we have decided to convert our PM2 in Nordland mill in Germany from fine paper to high quality release liner of production. When the conversion is completed quarter four '19, the machine will and is capable to produce 110,000 ton of release liner per year to answer the growing customer demand in a very competitive cost level. Like PM3 at Changshu mill in China, the converted unit will be capable of producing both fine and high quality release liner during its ramp up time. And you remember that the Changshu ramp up took us - took only twelve months to be fully loaded with the release liner. In the same release liner of business we have established strong position in Asia market since the successful start-up of PM3 at Changshu mill two years ago, now we are making debottlenecking investment already to that machine by increasing release liner production with 40,000 tons from Q1 onwards 2020. And then three months ago we announced a similar debottlenecking project at our Jämsänkoski mill in Finland. That project will help us to grow businesses also in short term. And you remember that in the Q4 we completed two of our main expansion projects at Kymi mill and Raflatac, so therefore for the short and medium term there's opportunities to grow. Ladies and gentlemen then I would like to move to Page 10, which is reminding you of the more transformative long term perspectives we are working on quite intensively and for UPM i.e. the Uruguay, the second preparation phase of the potential new pulp mill is proceeding. We believe in long term outlook for pulp supported by global mega [ph] trends, we are working hard to make sure that if and when we invest in this pulp mill, it will be one of the most competitive units in the world and will offer attractive returns to our shareholders. In the biomolecules business we are developing thoroughly new sustainable businesses that if everything goes could provide UPM with unique growth opportunities for the coming decades. Regarding the potential industrial scale biochemicals refinery in Germany, the basic engineering study is in full speed, results from the study I expect it to be ready by the end of the year and in biochemicals we continue to explore further. Sorry, biofuels we are continuing to further possibility to scale up of the business. In Q1 we initiated an environmental impact study in our Kotka facility Finland as a potential location for a new biofuels refinery. So quite many things happening and then the Page 11 is only a reminder of how the Uruguay project and study goes on. There are three phases of it. As you remember we signed agreement with the government of Uruguay in November last year detailing the prerequisites for the possible pulp mill investment and now we have moved to preparation phase 2 which is expected to take about one and a half years to two years and this phase include significant steps in number of the importance streams as shown on the slide. You can see it on the bottom of the slide mill permitting, pre-engineering, rail permitting, tendering and so forth for roads, labor, investments and so forth and so forth. The second preparation phase is further divided into three gates and the first of the three gates is now ending an ended in April and therefore we are moving on to gate two in the phase 2 and everything is moving as planned. Ladies and gentlemen then going for - to summarize our presentation before the Q&A session. There are several very good prospects for the future. Demand for products is strong, sales prices increased in all our businesses during Q1. Our Q1result was twentieth consecutive increase in results and grew by 17% from that of last year and we expect full year EBIT to increase as well. Today we announced the focused investments as we already presented earlier in release liner businesses and then we are preparing our future transformative projects and they are proceeding as planned. Ladies and gentlemen I like to stop here by actually putting this advertisement to all of you and invitation and we will have the Capital Markets Day on the 31 May in London and this is the invitation. And there you see the register and more information if there's a need for that. The theme of the day will be limitless opportunities over bio economy, so that the theme for the Capital Markets Day. I really hope that we will see you all there, but now let's stop this prepared part of the presentation. Dear operator we ready for the questions. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from Mikael Jafs from Kepler Cheuvreux. Please go ahead, your line is open.
Mikael Jafs: Yes hello, good day everybody. Two questions, the first one is around your very good result in the energy business where we saw prices and profitability improve. Could you talk a little bit about the this, I mean what was it that drove apart from basically only the cold weather, will this sort of reverse now when we have spring arriving and then in that also how large part of your electricity sales going forward are hedged, so that would be my first question and then the second is around your communication paper business area, why are you changing the name. Could you talk a little bit about that isn't this sort of an area that gradually will sort of continue to go down in terms of volumes with ongoing secular demand decline or are things changing there? Those were my questions, thank you.
Jussi Pesonen: Let's do so, let Tapio take the first question being the head of the energy business and then I come back with the communication paper question.
Tapio Korpeinen: Yes, well if we start with the energy business, prices where let's say starting when the weather turned colder particularly February and March. Good and there was also lots of volatility in the Helsinki area price, so we were benefiting from the higher market price, but they also were able to benefit from our ability to optimize the hydro output to the let's say higher value hours and days during that period, so that obviously improved the average price that we were able to realize during the quarter, profitability as well. We had high availability of hydro which added to the volumes and of course also lower the average cost of power generated. We had good availability as in the Nordic area in general going into the quarter because of the wet weather that we saw in the end of last year and let's say very beginning of this year. As the weather then sort of generally turned drier and as the let's say cold weather and higher energy prices also then incentivized hydro producers to run their hydro the sort of overall hydro balance in the Nordic area actually quite quickly developed such that we went from a relatively sort of wet hydro situation into a dry hydro situation, which gave some support to the prices also looking forward. So obviously now we're coming to the sort of flood season here in the northern part of the Nordic countries at the moment that will have some impact on the second quarter, but then I would say that at the moment still this sort of hydro and the fact that CO2 prices have come up even though they just backed down to some extent but they are relatively higher than we have seen in the past. They are kind for supporting to some extent the price to look at the moment. As far as hedging is concerned as you, perhaps you remember we are hedging overtime both our production portfolio as we are also doing for our consumption portfolio separately. And obviously try to do that in a way that we kind of benefit from the price outlook going forward as we estimate it, but we don't disclose the details in terms of what is our ratio of hedging going forward.
Jussi Pesonen: Thank you, Tapio. And then I actually go in more - somewhat more details in the communication paper, so I guess that the in our Capital Markets Day there will be a more actually like for the situation, obviously relentless work that we have been doing actually over the years now, last ten years on that basis to take the cost down, to optimize the fleet, the optimization of the back office services and how we are taking our own cost down and at the same time we have been very proactively building our commercial capabilities. Optimizing the CapEx synergies is now paying back in a way. The decline yes, this trend line can be 4% even if it has been lost twelve months something like 2.5% to 3%, which is helping us, but at the moment the business is on allocation and this is the first time ever since 2001that we are on that business on allocation almost across all product lines, so the supply demand balance and then the cost pressure that is coming from underneath there for many of our businesses is yielding to a good pricing environment as well. And then finally I guess that this supply demand balance is helped by the lot of conversations towards packaging businesses in this business, so basically this situation is somewhat better than I ever believed that we would be in allocation, but that this what we are currently.
Mikael Jafs: Many thanks.
Operator: Thank you. Our next question comes from Lars Kjellberg from Crédit Suisse. Please go ahead, your line is open.
Lars Kjellberg: Thank you. Just to start off a bit on coming to pulp, of course you had quite a negative down 7% year-on-year. You have expanded this business to various to build like [ph] investments and then there's another one coming I guess in Q2. What sort of capability do you think you're going to have in the second half versus what's the run rate now and can you comment at all how much volumes you lost in the first quarter on account of that wood harvesting issues. That was my first question.
Tapio Korpeinen: Well, let's say, the volume impact that you see in the reported figures in the first quarter compared to the first quarter last year is coming from the sort of issues at the Finnish mills because obviously otherwise both quarters last year and this year in the first quarter were sort of clean as far as maintenance and other things are concerned. So that is coming from the wood logistics limitations and as said, situation is sort of normalized on that, so therefore as far as the second half is concerned we should be able to sort of benefit from the capacity that we have. In last fall started up Kymi mill after the debottlenecking investment there to 170,000 tons. And we are now in this second quarter shutdown finalizing the debottlenecking investment in Kauka, so those together give us a couple of hundred thousand tons, two hundred thousand tons of additional capacity and that we should be able to then benefit from during the second half of the year. We do have the Pietarsaari shutdown in the fourth quarter which will have some impact.
Lars Kjellberg: When you talked about the inefficiency in paper, what is behind that? Is that also something to do with wood procurement, because you do make of course quite a lot of mechanical pulps at those assets or I was trying to think out why do - should we expect that to reverse in Q2 onwards?
Jussi Pesonen: Yeah, that is something that also not only having an effect on our pulp business, but also mechanical pulp business, mechanical pulp and the paper business here in Finland, but we didn't have as good quarter as we had like third quarter last year when it comes to other methods in operation as well, nothing particular, nothing big, but bits and pieces here and there, nothing to worry at all actually, it was not just kind of spot on light the third quarter last year was. But of course the wood shortage was affecting also our paper business.
Lars Kjellberg: And then if you look at the specialty papers business you talk about good demand and yet you see volumes declining, what is the explanation behind that?
Jussi Pesonen: That is pretty simple, the deliveries from that of last year we said 3% down. There are two reasons obviously, Changshu is now fully on the release liner IE not producing any fine papers as you remember the capacity for fine papers was some almost 100,000 tons more and then obviously when we have had some challenges and our Raflatac business, the release liner business has been somewhat down here in Europe, but nothing that would actually be coming from the market, market the strong and the delivery should go up.
Lars Kjellberg: So on that note when you are looking at the Nordland conversion, how much fine paper will you ultimately lose from that 110 release liner and the final question I'm just going to try to get some guidance on the other and elimination as you called out that was really the one thing that tracked down the numbers a bit. Can you give us any reason for why that big negative number and how we should view that for the balance of the year.
Jussi Pesonen: And I don't now remember the capacity of Nordland PM2.
Tapio Korpeinen: It's a bit less than 200,000 tons.
Jussi Pesonen: Yes.
Tapio Korpeinen: Something like that when it was producing fine papers, so that over time obviously then will be phased out the release production starts. And then well there's always some let's say seasonality in this sort of other eliminations lines. One factor in the eliminations lines is that there were kind of eliminate impact of rising pulp and power costs as they are tied into inventories. So typically what you have there, inventories in terms of produced paper for instance, so there you have a kind of a timing impact which over time is neutral, but when prices are going up then you have a negative figure on that line and when prices are going down then you have a positive figure on that line, so that is one part. As far as the other operations are concerned again the quarter's kind of a very one from - one to each other, but let's say for the full year I think there will be no big change if you look at the let's say several previous years in the other operations line.
Lars Kjellberg: And just finally on Norrdland, you've had at least one machine idled, if one of these machines idled that's the one you're converted or are you operating on -
Tapio Korpeinen: That machine has been running and we have had - last two years he has been running and previously most idled as well and this is the machine that we are turning, but last two years he has been running.
Lars Kjellberg: Okay, very good thank you.
Operator: Thank you. Our next question comes from Alexander Berglund from Bank of America Merrill Lynch. Please go ahead, your line is open.
Alexander Berglund: Thank you very much. Just a quick question on your outlook on comparable EBIT being above 2018, in that assessment is that dependent on you getting price hikes on graphic paper May and July or just assuming prices staying flat at this level.
Tapio Korpeinen: We don't comment on that obviously, it's our estimate in terms of prices for our products but also our inputs are. So in that sense we don't we don't sort of - we don't give the assumptions more than that behind that, but it's obviously the sort of margin development that we estimate going forward.
Alexander Berglund: Okay, thanks anyway.
Operator: Thank you. Our next question comes from Robin Santavirta from Carnegie. Please go ahead, your line is open.
Robin Santavirta: Thank you. A question related to input cost inflation, what are you seeing at the moment for the rest of the year in terms of wood cost, chemicals, transportation. So perhaps you don't need to touch or talk about pulp but the other input costs what you would expect for the rest of the year.
Tapio Korpeinen: Well we had around 140 million higher variable cost for the first quarter sort of the net of our own actions and I would say that we are obviously in an environment as we have guided where the input costs are on the rise, but on the other hand I think let's say the rate of cost increases probably was the highest now in the beginning of the year and our expectation at this time is that we will see some let's say leveling or stabilization of that for the rest of the year, but we are in the environment of increasing costs.
Robin Santavirta: All right good and then related to the guidance of comparable EBIT improving this year, obviously that EBIT includes the reevaluation of forest or biological assets. How should we sort view that, do you expect the reevaluations to be in line with last year? Those obviously can be quite volatile, so would you mind to comment or guide us related to that?
Tapio Korpeinen: I would say that the guidance is based on the profitability of the six business areas, so in a sense I would not read into that anything special thus far us the forest evaluation or let's say that part is concerned.
Robin Santavirta: I understand thanks. And then finally related to duty Uruguay 2 project, could you comment on your situation related plantations and self-sufficiency of wood raw material in Uruguay?
Jussi Pesonen: That is definitely we can comment and I think that we have been commenting that as well. We have obviously when we started this program of three phases, already at that moment we did have the critical mass of the plantations for going forward and obviously there will be further developments and if you are assuming that the mill will be starting up somewhere in the future you need to have the trees growing already, so basically the critical mass is already - we are about that.
Robin Santavirta: All right thanks. And if I may one more, could you comment about the - you mentioned mill efficiencies, some problems there. What is the magnitude of those problems in terms of vessels or earning now in Q1and are all of those problems now sorted out for Q2?
Jussi Pesonen: That we don't comment and obviously I don't know what happens tomorrow, but basically our operations are now in a better shape than that of Q1.
Robin Santavirta: All right thank you very much.
Operator: Thank you. Our next question comes from Linus Larsson from SEB. Please go ahead, your line is open.
Linus Larsson: Yes, good afternoon to everyone. Maybe if I could just follow up and maybe if you could help me understand and if you could clarify, you talk about efficiency issues in the first quarter, talked about the 30 million wood supply impact in the first quarter, I do understand it right, but those are two separate items that's my first question?
Jussi Pesonen: They are and they are not. Obviously they are when you are actually having a wood shortage, you need to run machines up and down also and that that is causing also some inefficiencies as well. When everything goes smoothly then the efficiencies comes, but on top of that we have also other operative wood challenges that we have had in our system, but like I said, nothing big one.
Linus Larsson: Because when we bridge then into Q2, so let's leave the mill efficiency topic aside, but then if we bridge Q1 into Q2 and we look at the wood supply issues which had an impact of 30 million in the first quarter, now you say maintenance will have an impact of 60 million, so the bridge just combining those two is 90 million - plus 30, do I understand that correctly?
Tapio Korpeinen: Well, yes in a sense then obviously whatever else changes you have to sort of net or add to that as well, but in a sense yes, there is a plus thirty or let's say kind of the impact of the 30 million coming from the wood supply obviously is no longer there, but then we do have a negative 60 coming from the maintenance activity.
Linus Larsson: Perfect that's crystal clear. Thank you very much for clarifying that and then just would you mind commenting on FX and if you have a net figure possibly for full year 2018 versus full year '17 net of hedging, would you have any such indication for us?
Tapio Korpeinen: No indicator as such we have in the support materials the usual sort of position that we have in terms of exposure to the different currency pairs and yeah, you have it. So as you remember we hedged 50% of our estimated position twelve months forward, so there you can sort of estimate, but no other guidance for the full year as such.
Linus Larsson: Sure, that's fair enough. And then just finally and I'm not sure you want to answer specifically on that either, but as you guys, you reiterate EUR50 million of CapEx for 2018 and you have lot of ideas for CapEx in the pipeline potentially I mean beyond 2018 should we expect an increase in CapEx regardless of - maybe regardless of Uruguay, but that you have a lot of other ideas, which you are presenting as well.
Jussi Pesonen: I guess that when it comes to this as we call them focused investments that will be hovering somewhere 350 million, 450 million and if you go backwards we made with that money - we made the Chandshu, we made the Lappeenranta refinery, we made all of the first and second phase of the Kymi pulp mill, debottlenecking as well as Kaukas and Fray Bentos, so basically this will continue and I think that with that money we are gaining a lot. And therefore it's easy to say that that would actually go beyond that as an average.
Linus Larsson: Okay, thank you, that's helpful.
Operator: Thank you. [Operator Instructions] The question comes from Harri Taittonen from Nordea. Please go ahead, your line is open.
Harri Taittonen: Thank you and good afternoon. I'll start on the price increases that were sort of outset kind of shown for the first quarter. Were they fully in the sort of reported profit for the first quarter or is there any kind of spillover impact or benefit to second quarter? And related to that, I know that you don't have the habit of announcing sort of price increases, but the trade press has suggested you are raising prices in Europe and also in the US, could you sort of confirm or deny those stories?
Jussi Pesonen: First of all I don't confirm or deny any. We just take prices up when there's a possibility and there's a need for that that that is obviously quite clear that when the cost have been rising and then we will report later on that what has been happening in the market. And then I think that during the first quarter - I don't know if Tapio you have any view most probably there fully in our prices, what were happening in the end of the last year, they are fully implemented for the first quarter.
Tapio Korpeinen: Then in a sense it's a matter of mix, how they kind of - and currencies obviously, how they sort of flow to the bottom line, but otherwise they have been implemented.
Harri Taittonen: Okay and on the cost lines, we talked about it quite a bit already, but were you able to benefit from the lower recovered paper prices at all and how do you see that balance sort of going forward in the European markets and overall do you - so I think last conference call you sort of saw similar sort of cost inflation rate when we talked about the results three months ago, but is that sort of statement still more or less valid or is it sort of doesn't look like more accelerating of course?
Tapio Korpeinen: I would say, well, overall it's probably still in line what we expected, no big surprises as such, but also as I said earlier I think the kind of start of the year has been with a higher rate of increase than what we perhaps expect for the remainder of the year. As far as recovered prices or recovered paper prices are concerned, we have had some benefit as well from the lower wastepaper prices or recovered better prices in Europe. Direct impact to us perhaps is to some extent affected by that first of all and not all of our supply contracts are spot price based and secondly perhaps the biggest swings in the sort of prices that you have kind of quoted out there are in - not in the deinking grades as such, but more in the brown grades and mixed waste which directly have sort of less impact on us than perhaps on let's say the producers of packaging board and so on, but we have seen some benefit in cost us well obviously.
Harri Taittonen: Okay, that's very helpful. Many thanks.
Operator: Thank you, our next question comes from Lars Kjellberg from Credit Suisse. Please go ahead, your line is open.
Lars Kjellberg: Thank you, I just wanted to come back to China, obviously there's been a tremendous amount of pressure in the Chinese fiber market which seems to be the principal driver for a lot of the fiber price increase in particular on pulp. Can you give us any sense how you see things in China from your vantage point? It does appear that China has become a target itself for potential exports from outside China and certainly seems that China is exporting less paper, which maybe not be a result of less fiber availability in China. But if you can share any thoughts, how you see the business in China for yourself and if you have any views on the market as a whole?
Jussi Pesonen: China, I guess that Tapio can continue, but from my point of view China has been pretty strong for us all the way through ever since 2009. We are running our operations with full speed. The fiber market we have been always into high quality pulp when producing anything in China i.e., the exported fibers that we use in that respect. But obviously if there will be restrictions like in the recovered paper or so that means that there will be also then restructuring of the industry happening inside China as well so we feel very strong with the businesses that we are in i.e. the release liner, fine paper or the uncoated fine papers and then the Raflatac businesses. Chinese market is moving strongly on how we see that market happening, but I know if Tapio you have anything to add on that.
Tapio Korpeinen: Well, maybe nothing specific, but I would say let's say again kind of the longer term sort of drivers are positive and let's say we are kind of shaping our business in China according to that and then kind of what we see in the immediate terms this year whether it's pulp or paper or labor demand, it has continued to be solid - quite strong demand from our customers, so in that sense the business is solid in China for us.
Lars Kjellberg: If I may just follow up on one question, there's been - some of the trade press have been talked about comparatively sluggish demand in China parts of Q4 and in Q1. Is that something that you've seen in your business or is that not relating to you i.e. that you could see a rebound in that business heading into the second quarter? I just wanted to double check of what you see?
Tapio Korpeinen: We have not seen anything. I guess that the Chinese market and the economy that is related to what we do in China are delivery to China is very solid.
Lars Kjellberg: Very good, thank you.
Operator: Thank you. There appears to be no further questions. I'll return the conference back to you speakers.